Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Limited Third Quarter 2015 Financial Results conference call. All participants are present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. [Operator Instructions], as a reminder, this conference is being recorded November 10, 2015. Before I turn the call over to Mr. Yitzhak Nissan, Chairman of the Board and Chief Executive Officer, Mr. Roberto Tulman, Deputy CEO and Chief Technology Officer, and Amnon Shemer, Chief Financial Officer, I’d like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the Company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the Company on the date hereof, and the Company assumes no obligation to update such statements. Please refer to the documents the Company files from time to time with the SEC, specifically the Company’s annual report on Form 20-F and it is periodic reports on Form 6-K and the Safe Harbor language contained in the Company’s press releases. These documents contain and identify important factors that could cause the Company’s actual results to differ materially from those contained in its projections or forward-looking statements which the Company urges all investors to consider. Eltek undertakes no obligation to publicly release their revisions to such forward-looking statements that may be made due to reflect the events or circumstances after the date hereof or to reflect the occurrence of anticipated events. I will now turn the call over to Mr. Amnon Shemer. Mr. Shemer, please go ahead.
Amnon Shemer: Good morning. Thank for joining us and welcome to Eltek’s 2015 third quarter earnings call. Presenting on today’s call will be Yitzhak Nissan, Chairman of the Board of Directors and Chief Executive Officer; Robert Tulman, Deputy CEO and Chief Technology Officer, and myself. By now, everyone should have access to our third quarter press release, which was released earlier today. If you have not received the release, it is available on our website at www.nisteceltek.com. Our call today will begin with my presentation of Eltek’s financial results followed by an overview of our business and a summary of the principal factors that affected our results by our Chairman and CEO, Mr. Yitzhak Nissan. During this conference call, we will be discussing non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for our definition of and the reasons for its use. Revenues for the quarter ended September 30, 2015 were $10.8 million compared to revenues of $11.7 million in the third quarter of 2014. Gross profit for the third quarter of 2015 was $1.7 million, 16.9% of revenues compared to gross profit of $1.5 million, 12.8% of revenues in the third quarter of 2014. Operating profit for the third quarter of 2015 was $607,000 compared to an operating loss of $446,000 in the third quarter of 2014. Net profit for the third quarter of 2015 was $624,000 or $0.06 per share compared to a net loss of $532,000 or $0.05 per share in the third quarter of 2014. EBITDA, in the third quarter of 2015, Eltek had EBITDA of $1 million compared to EBITDA of $134,000 in the third quarter of 2014. in the first nine months of 2015, Eltek had EBITDA of $2.4 million compared to EBITDA of $968,000 in the first nine months of 2014. I will now turn the call over to Yizhak Nissan for his overview of our business and the key factors that affected our results. Yitzhak?
Yitzhak Nissan: Thank you, Amnon, The results of the 2015 third quarter reflect improvements in various areas of the Company's operations. This is demonstrated by the significant increase in gross margins and the outstanding net profit we recorded in the quarter. In addition, revenues from the North American market showed meaningful growth as compared to the third quarter of 2014. In order to capitalize on this trend, we have engaged three new sales representative firms in the United States. One firm is based in the Pacific Northwest, one in Florida and the third firm is in the New England area. We are also focusing on developing cutting edge technologies for high-end products, in order to serve our sophisticated defense, aerospace and medical customers. While this increases our R&D and manufacturing costs, these products carry higher profit margins. We believe that the new capabilities will provide us with a competitive advantage and provide the foundation for the future growth of the company. I’d like to add that, Eltek is continuing its Green Industry initiative. We intend to exert significant efforts and make capital investments in order to be a leading environmentally conscious industrial company. Thank you.
Operator: Thank you. Ladies and gentlemen at this time we’ll begin the question and answer session [Operator Instructions] The first question is from Tamir Shanel [ph]. Please go ahead.
Unidentified Analyst: Yes, good morning and congratulations. A couple of quick questions. First of all, can you elaborate on the sales situation between or the relationship between Eltek and Nistec, that was a period that you were going to embarrass your relationship in order to have plus sales.
Yitzhak Nissan: Okay, the relationship right now is caused by the general meeting which we had about three weeks ago. So by now, Eltek can buy firm and thick billboards only for it’s needs. But not all the board get to – we need to choose this Eltek manufacture as you know, Eltek is using a constrained on the high end sophisticated boards, not all of them – not all the Board of Director said, Nistec manufacture belong to in that category. So about the boards that didn’t accuse us, we buy from east and those boards that you need for customers, like aerospace and military we buy now from a
Unidentified Analyst: Got it, thank you. A couple of more questions that, SG&A has been definitely decreasing and that looks clearly good that you believe the cost structure that you’re going to now it’s consistent moving forward.
Yitzhak Nissan: Yes, we believe so. We have a downside to the company in terms of general extensive, but we’re well positioned in our sales force to continue the growth of the company.
Unidentified Analyst: It’s great. Couple of more questions I’m known, the R&D income shows actually, R&D expenses showing income of 51K, if I read it correctly. And your financial also shows an income of 62K, is this a one time scenario.
Yitzhak Nissan: With respect to R&D, it is a one time scenario. I guess it’s causing us an income it’s the some of the allocations that we have to do between cost of revenues and R&D. With respect to financial income, we have ongoing financial expenses for the loans that we use from our banks. But on the other hand, the increase in the dollar and euro exchange rate towards the end of the quarter have revaluated the customer debt to us as intended up within income to the company. So the net effect was – net income, financial income other than financial expenses.
Unidentified Analyst: Okay. Last question, on the Green initiative, what kind of investments do you believe you are going to have to put into the system ability initiatives moving forward.
Roberto Tulman: Hi Tamera, it is Roberto. We’re investing in a new system for sewage treatment and we have engage with the company that helps us to do so in order to comply with a regulations and future regulations that are changing day-to-day.
Yitzhak Nissan: In terms of the amount, it’s about 400,000 case, but it’s on…
Roberto Tulman: $8.
Yitzhak Nissan: Yes. $400,000 but it’s based on BLT arrangements with the company that establishes and its stay well over a long period of time. It’s not something that we have to put to take out of the cash resources that we have.
Unidentified Analyst: Guys, thank you very much.
Yitzhak Nissan: Okay.
Roberto Tulman: You’re welcome.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Nissan to go ahead with his closing statement, I would like to remind the participant that a replay of this call will be available tomorrow on Eltek’s website, www.nisteceltek.com. Mr. Nissan would you like to make your concluding statements.
Yitzhak Nissan: Yes. Thank you for the participation. You may go ahead and disconnect. Thank you very much.
Operator: This concludes the Eltek Ltd. third quarter 2015 financial results conference call. Thank you for your participation. You may go ahead and disconnect.